Operator: Good afternoon, ladies and gentlemen, and welcome to Masimo's First Quarter 2012 Earnings Conference Call. The company's press release is available at www.masimo.com [Operator Instructions] I am pleased to introduce Sheree Aronson, Masimo's Vice President of Investor Relations.
Sheree Aronson: Hello, everyone. Joining me today are Chairman and CEO, Joe Kiani; and Executive Vice President of Finance and CFO, Mark de Raad. This call will contain forward-looking statements which reflect Masimo's best current judgment. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Risk factors that could cause our actual results to differ materially from our projections and forecasts are discussed in detail in our SEC filings, including our most recent Form 10-K. You will find these in the Investors section of our website. With that, I'll pass the call to Joe Kiani.
Joe E. Kiani: Good afternoon, and thank you for joining us for Masimo's quarterly review update. Before I get started with our comments on the quarter, I wanted to share with you the importance of today's date, which is the 23rd anniversary of our incorporation. From our very humble beginnings in 1989, I believe we have truly revolutionized pulse oximetry, making it a clinically useful tool and a foul-weather friend and, in so doing, provided the best technology in the world to both our hospital customers and the patients they serve. Of course, we remain focused on expanding the pulse oximetry business, as well as continuing to push for new equally revolutionary rainbow parameters. We still have much to accomplish, but we are proud on what we have delivered over the past 23 years. So if we sound chipper this afternoon, this is part of the reason. In Q1 2012, we achieved 11% growth in product revenue compared to Q1 2011. We have double-digit growth in both our direct U.S. acute care and international business coupled with a 14% rise in worldwide rainbow sales. We shipped 33,300 new Masimo SET and Masimo rainbow SET Pulse Oximeters and Pulse CO-Oximeters in the quarter and now estimate our worldwide installed base for the first time ever to be just over 1 million units, representing 13% year-over-year growth and obviously achieving a significant Masimo milestone. Other major developments include: the debut of our rainbow and clinician-centric Radical-7 bedside device, which we sometimes call the 2012 Radical-7; the addition of GE, the world's second largest patient monitor provider, to the ranks of OEM partners, converting the Masimo rainbow SET; the acquisition of the assets of Spire Semiconductor, a foundry for custom LEDs and photodetectors; the completion of our 3 million share buyback program; a regulatory clearance and commercial launch of Pronto-7 in the U.S. and China and South Korea; and the introduction of novel health care initiatives called "Better Care," designed to demonstrate SpHb's clinicals and cost-saving benefits to hospitals. In a few minutes, I'll talk more about how each of these is advancing our growth strategy. But first, Mark will review the first quarter financial performance. Mark?
Mark P. de Raad: Thank you, Joe, and good afternoon, everyone. Masimo's first quarter 2012 total revenue rose 6% to $119 million versus $113 million in the year-ago period. We achieved this growth despite a 39% decline in royalty revenue from $11.5 million to $7 million, reflecting the reduction in the Covidien royalty rate from 13% to 7.75% effective March 15, 2011. First quarter product revenue rose 11% to $112.2 million as recent installed base growth translated into higher consumable sales to hospitals. A rise in Pronto-7 and consumable sales drove rainbow sales higher, up 14% in the first quarter to $8.5 million. In addition, the March 12 acquisition of the assets of Spire Semiconductor, now known as Masimo Semiconductor, added approximately $300,000 to product revenue in the quarter. Our worldwide end-user or direct business, which includes sales through just-in-time distributors, grew 12% in the quarter to $95.9 million versus $85.3 million one year ago. In total, our direct business represented 85% of product revenue versus 84% in the year-ago quarter. First quarter 2012 OEM sales were virtually unchanged at $16.3 million from -- excuse me, from $16.2 million in the same prior last year period. By geography, total U.S. product revenue rose 12% to $80.8 million in the first quarter compared to $72.4 million in the first quarter of 2011. This growth reflects primarily strong U.S. care sensor sales, coupled with U.S. OEM sales increases and higher sales to physician offices following our Q1 launch of Pronto-7. Product revenue outside the U.S. totaled $31.5 million, up 8% compared to the first quarter last year. Excluding OEM revenue, our direct o-U.S. product revenue grew 15%, with higher sales in both Europe and Asia. This growth was offset by a 15% decline in our o-U.S. OEM business. International product revenue represented approximately 28% of total product revenue in the first quarter versus 29% in the year-ago period. Foreign currency exchange rates had virtually no impact to international revenue totals in the year-over-year period. The first quarter product gross profit margin was 64.4%, unchanged from 64.4% one year ago and up sequentially from 63% in the fourth quarter of 2011. Our Q1 2012 product gross profit margins were negatively impacted by approximately 30 basis points due to the impact of Masimo Semiconductor cost of sales of approximately $400,000. Compared to our own internal expectations, which were reflected in our updated product gross profit margin guidance we provided on March 12, 2012, our Q1 product gross profit margin was slightly better than we had expected due primarily to a higher mix of consumable revenues than we expected. Q1 2012 product gross profit margins also continue to be negatively impacted by the ongoing incremental cost of our new X-Cal technology, which beginning in Q4 2011, is now incorporated into every Masimo adhesive sensor we ship. In the first quarter of 2012, the full incremental cost of adding this new technology reduced our Q1 2012 product gross margins by more than 100 basis points. Recall that we introduced X-Cal technology in order to both ensure the integrity and reliability of our technology while, at the same time, reduce customer complaints and loss of revenue due to sensors sold to our installed base by knock-off manufacturers internationally and by third-party re-processors in the U.S. We believe that in the long run, this investment in protecting our technology and ensuring our customers of the quality and reliability of Masimo products is worthwhile. Total gross profit margin, including royalties, was 66.5% in the quarter versus 68% in the same period last year, reflecting primarily the 39% year-over-year decline in royalty revenue, as well as the 30-basis-point impact from Masimo Semiconductor that I just mentioned. On a sequential basis, our total gross profit margin rose by 100 basis points from 65.5% in the fourth quarter of 2011 due to the same factors I previously noted. Operating expenses were $57 million, up 11% from $51.4 million in the first quarter of 2011. This year-over-year increase was due largely to the impact of both our annual sales meeting, which was not held in Q1 2010, as well as the Q1 2012 World Congress of Anesthesiologists Conference in Buenos Aires, which is held only once every 4 years. Other more moderate spending increases occurred in payroll and related costs, commissions and marketing and clinical studies costs. Partially offsetting these increases were lower Q1 legal expenses compared to the prior year period. Adjusting for the higher sales, training and conference expense and the lower legal expenses, our year-over-year operating expenses would have increased by approximately 9%. I did want to take this opportunity to reiterate what we mentioned in our March 12, 2012, press release and updated guidance, namely, that we do expect our legal expenses to begin increasing more significantly as we move through the rest of 2012. First quarter 2012 operating expenses also included $10.5 million in R&D spending, which was up 5% from $10 million in the year-ago quarter, reflecting primarily increased payroll and related costs and project-related expenses associated with increased staffing levels. Masimo Semiconductor, for the last 3 weeks in the quarter, also added approximately $100,000 to our total operating expenses in the quarter. Movements and foreign exchange rates had virtually no impact on first quarter 2012 operating expenses as compared to the same prior year period. First quarter 2012 operating income was $22.3 million compared to $25.4 million in the year-ago period. This year-over-year decline, as previously noted, was due entirely to the $4.5 million reduction in royalty payments over the same comparable periods. Non-operating expense was $600,000 in the first quarter compared to income of $200,000 in the year-ago period and reflects primarily the recognition of the net realized and unrealized losses on foreign currency denominated transactions. The expense in the first quarter of 2012 resulted primarily from the strengthening of the U.S. dollar against the Japanese yen, offset by the weakening of the U.S. dollar against the Euro and the British pound. Our first quarter 2012 effective tax rate was 27.5% compared to 29% in the first quarter of 2011. The improvement is due primarily to the mix of income in jurisdictions in which we do business and partially offset by a rate increase resulting from the suspension of the federal R&D credit. First quarter 2012 net income was $15.8 million or $0.27 per diluted share compared to first quarter 2011 EPS of $0.30 per share. As I just previously noted, from an earnings per share perspective, the decline in year-over-year royalties was the equivalent to almost $0.06 per share. As of early April 2012, we completed the 2-year, 3 million share repurchase program authorized by our Board of Directors in August 2011. We repurchased approximately 1.8 million shares in Q4 2011, approximately 1 million shares in March 2012 and the remaining approximately 200,000 shares in early Q2 2012. As a result, our weighted average shares outstanding in Q1 2012 declined to 59.1 million. As of March 31, 2012, total cash and cash investments were $128.8 million compared to $129.9 million as of December 31, 2011. The change reflects primarily cash generated from operations, offset by $14.4 million to repurchase our stock and $7.2 million used to acquire the assets of Spire Semiconductor. At March 31, 2012, we also owed an additional $6.9 million for repurchased shares, and this obligation is reflected in Accrued Liabilities on our March 31, 2012, balance sheet. As of March 31, 2012, our DSO was 49 versus 50 on March 31, 2011. Over the same period, inventory turns declined slightly to 3.3 from 3.4. Let me close with a quick reminder about our policy regarding annual financial guidance. We provided updated 2012 revenue and EPS guidance in a March 12 8-K filing related to the Spire Semiconductor transaction. It is our policy not to update annual guidance unless there are material developments which cause us to believe that either revenue or EPS will be materially outside the numbers we previously provided. Based on our first quarter results and currently available information, we are not providing any update to the annual guidance we issued in March. However, as I've noted before, we would encourage investors to review both our original February 14, 2012, annual financial guidance, as well as our updated March 12, 2012, guidance resulting from the acquisition of the assets of Spire Semiconductor, the addition of an estimated $3.5 million in legal expenses and the impact of lower shares outstanding on our original February 2012 annual financial guidance. With that, I'll turn the call back to Joe.
Joe E. Kiani: Thanks, Mark. Our performance in the quarter showed the positive momentum that continues to form behind the Masimo growth strategy, which is to build a strong, proprietary, recurring revenue franchise with breakthrough products that solve unsolvable clinical problems, advance the standard of care and lower health care costs. The foundation of this strategy is our core Signal Extraction Technology Pulse Oximetry business, which again, this quarter, posted revenue and installed base growth rate significantly above competitor and market levels, giving us confidence that our global market presence is hitting new highs. The accuracy, reliability and cost-effectiveness of our Masimo SET pulse oximetry technology, along with our efficient and intuitive Patient SafetyNet solution for the general ward, are helping us to strengthen existing hospital customer relationships and win new businesses. This was apparent in the brisk pace of long-term sensor contract bookings with new prestigious hospitals in the first quarter, which were up significantly from one year ago and followed the record-setting booking levels we delivered in the fourth quarter of 2011. The prime motivator for hospitals to choose Masimo over competing systems is to be at the standard-of-care level for pulse oximetry monitoring and the ability to access our upgradable rainbow SET platform, the first and only technology to noninvasively and continuously monitor total hemoglobin, carbon monoxide, methemoglobin, fluids responsiveness and respiration rate. Consequently, an increasing number of our customer relationships now include deployment of one or more rainbow measurements. While rainbow grew less than we had expected, the slower growth was not due to SpHb, which grew 70%, or to RAM, which more than doubled compared to Q1 2011. Rather, it was due to softer sales of SpCO and SpMet, which is predominantly purchased by EMS customers. Unfortunately, ever since the 2008 great recession, municipalities have not had the tax revenues that fueled EMS product sales. We expect, as the recession ends, that business will begin to grow faster in the EMS environment. We continue to focus on products and programs that enhance rainbow's accessibility and ease of use for clinicians and hospitals. For example, during the first quarter, we debuted the 2012 Radical-7 bedside monitor, which is clinician and rainbow-centric and provides a variety of features designed to simplify the clinician's life. This new monitor, now in premarket release, offers exceptionally easy operation, a view of all rainbow parameters and instant adaptability to change displays and settings on-the-fly. With a quick touch drag and drop, clinicians can move any parameter to and from the center and bottom of the display, never losing track of any vital signs and yet seeing boldly what they want to see. The instant-trend feature provides the ability to view 1 or 2 parameters at once and, with simple finger motion, clinicians can move, expand or collapse parameter trends for a real-time analysis. It is versatile in multiple care areas, with an automatic rotational screen for either horizontal or vertical display, and it can be used as a stand-alone device at bedside, as a detachable, untethered, wireless wearable device, or as multi-parameter monitoring interface with SatShare. I know Steve Jobs' biographer, Walter Isaacson noted in his book that while at Methodist University in Memphis, Tennessee, Jobs remarked that he hated the oxygen monitor they put on his finger and told his caregivers it was ugly and too complex. I can confirm that this hospital was not a Masimo customer at the time, so Jobs was obviously not referring to our Radical. I am curious what Jobs would have thought about our Radical, even the old one. But I wish he was alive, and we would have shown him the clinician and rainbow-centric Radical. I think he would have liked it. The clinicians of the World Congress of Anesthesiologists certainly did. We unveiled it there in March, and the reception was overwhelming. Clinicians from around the world were excited by its functionality and ease of use and told us they had never seen a device quite like it. The clinician-centric Radical-7 is first part in a series of system solutions that we will ultimately introduce to improve the process of care. We're also excited about customers' response to our innovative Blood Transfusion Related Costs Reduction guarantee or "Better Care" Program, a risk-sharing initiative we rolled out in Q1 that guarantees blood transfusion-related cost reductions for participating customers will be greater than the additional cost of the rainbow ReSposable sensors. Under the program, Masimo guarantees that when a hospital replaces its standard pulse oximetry adhesive sensors with ReSposable rainbow Pulse CO-Oximetry adhesive sensors and begins monitoring noninvasive hemoglobin in addition to other rainbow SET Pulse CO-Oximetry measurements, it will experience a reduction in blood transfusion costs well in excess of the incremental price paid for the rainbow Pulse CO-Oximetry sensors. The Better Care guarantee program is quickly capturing the attention of key clinicians and C-suite level hospital executives. We're actively engaged in discussion with a number of interested customers and are confident the program will help to not only validate SpHb's ability to improve patient care, but also its ability to lower costs. A new study from Johns Hopkins Hospital and published in the April issue of Anesthesiology spotlights the fact that many surgeons transfuse more blood than necessary, putting patients at risk. The 18-month study, which collected data on more than 48,000 surgical patients, reveals significant variation in the frequency of blood transfusions among the institution's surgical services and surgical procedures and among its individual anesthesiologists and surgeons. Transfusions, of course, are inherently risky and can cause a range of adverse reactions which often translate into longer hospital stays, slower recovery and higher medical bills, if not mortality and morbidity. As more and more hospitals begin to focus on improving their blood management programs, we expect SpHb, with its ability to monitor and trend hemoglobin in real time, to become an essential part of clinical decision-making on when and how much to transfuse. Paramount to achieving broader utilization of rainbow is ensuring its availability in OEM multi-parameter patient monitoring devices deployed in hospitals around the world. We are achieving this through expanded agreements with our OEM partners to incorporate Masimo rainbow SET into their patient monitors. This effort took a major step forward in the first quarter when we announced an agreement with GE Healthcare, the world's second largest patient monitoring company, to incorporate Masimo rainbow SET into many of their monitors. You will recall that Philips, the world's #1 patient monitoring company in terms of market share, signed a similar agreement with us last year. So with these 2 leaders, along with approximately 40 other agreements already secured, we now have a vast majority of the global patient monitoring providers in some stage of converting to Masimo rainbow SET technology. This isn't a transition that happens overnight. In fact we estimate that it can be 1 to 2 years between the time an agreement is signed and rainbow SET equipment from each OEM enters the market. Nevertheless, we're well on our way to making rainbow broadly accessible to hospitals, clinicians and patients everywhere. At the same time, the body of clinical research continues to expand, demonstrating rainbow's accuracy and efficacy in a range of care settings. At last count, we had over 100 studies completed on rainbow and over 100 active rainbow studies. A major study that we are anxious to see begin is being conducted by the Society for the Advancement of Blood Management with principal investigator Dr. Aryeh Shander, a world-leading authority on blood management. The study is named Nacho, especially appropriate for upcoming Cinco de Mayo celebrations but, in our case, stands for noninvasive and continuous hemoglobin monitoring -- with an O at the end, instead of an M -- for surgical blood management, is a randomized controlled trial of several hundred patients in at least 4 centers in 3 countries. U.S., Germany and Japan, and is set to start by the third quarter. Half the patients will be treated by clinicians who will use SpHb monitoring on a Radical-7 to supplement their blood transfusion decisions. And the other half will have the SpHb data collected, but it will be blinded to the treating clinicians. In contrast to the Massachusetts General Hospital randomized controlled trial that focused on surgical patients with low expected blood loss, which showed a 90% reduction on blood transfusion, the Nacho study will focus on surgical patients with high expected blood loss and is powered for a 25% reduction in blood transfusion. In patients with a higher absolute blood loss, a 25% reduction would actually result in higher savings of unnecessary blood transfusion than the 90% shown in the Mass General study. If this study meets its primary end point, the clinical community will have 2 randomized controlled trials showing SpHb monitoring technology reduces blood transfusions, a significant clinical and financial end point. Most new monitoring technologies never show any outcome differences in randomized controlled trials. While these study results could ultimately be profound, we hear today that continuous SpHb monitoring is saving lives in the intensive care unit and delivery rooms. Related to rainbow, Pleth Variability Index or PVI, a new study was recently published in the April issue of peer-review journal, Bioscience Trends, which showed that noninvasive and continuous monitoring of Masimo PVI help clinicians assess fluid responsiveness during major abdominal survey. It confirms that PVI results were similar to invasive, more expensive stroke volume variation or SVV, from a flow track catheter. Researchers concluded that monitoring fluid responsiveness using a noninvasive device may be helpful for fluid optimization in the operating room, especially in some patients who do not need invasive artery monitoring. Multiple studies have shown PVI helps clinicians assess fluid responsiveness in surgical mechanically ventilated patients, helping clinicians improve fluid management to reduce patient risk. Although fluid administration is critical to optimizing patient status and enabling end organ preservation, unnecessary fluid administration is associated with increased morbidity and mortality. Consistent with our strategy to make Masimo measurements beyond the hospital and take it to other care settings, our full commercial launch of Pronto-7 is now in full swing. Of course, we started the quarter with good news about the FDA clearance of this breakthrough handheld device, which conveniently and noninvasively measures total hemoglobin, SpO2, pulse rate and perfusion index in a minute. Today, all of our direct acute care sales reps are selling the Pronto-7, and our 20-person physician practice sales team is targeting U.S. physicians' offices. We are working to finalize Pronto-7 agreements with one or more U.S. physician practice distributors, which will dramatically expand our reach to more than 200,000 physician offices nationwide. Our goal is to be shipping via a distributor by midyear. Moreover, just a few weeks ago, we announced regulatory clearance of Pronto-7 in China and South Korea, expanding our growth opportunities in key emerging markets. The Pronto-7 and other technologies that make up the Masimo rainbow platform require anywhere from 8 to 15 specialized light emitting diodes in order to gather the optical data necessary to produce the Pulse CO-Oximetry rainbow measurements. To ensure the availability of these sophisticated optoelectronic chips, we recently acquired the assets of Spire Semiconductor, an advanced semiconductor device foundry service business. Now a wholly owned subsidiary called Masimo Semiconductor, this New Hampshire-based organization has developed groundbreaking LED and photodetection technologies with application in solar cells, photodynamic therapy, oxygen sensing and infrared imaging. We researched firstly all the manufacturers in this space and selected Spire because we were most impressed with their capability and expertise and with the way we saw their focus on breakthrough innovations complimenting Masimo's vision. With Masimo Semiconductor, we will be able to stabilize our rainbow LED supply chain for expected future demand, develop and manufacture custom components, accelerate our R&D cycles and optimize feature development costs. We expect the acquisition of the assets of Masimo Semiconductor to be mostly dilutive to 2012 earnings, which we incorporated into our revised March 12 guidance at the same time we announced the transaction. However, we expect the impact of the Masimo Semiconductor business to earnings to be neutral in 2013 and accretive thereafter. Let me close by reminding investors that since 2004, Masimo has delivered annual revenue growth in the $40 million to $60 million range, which translated into a range between 56% to 14% annual growth over the 7-year period. We have achieved this organic growth by continuing to convert hospitals to our gold standard SET technology. And while the percentage growth we expect from Masimo, which is north of 20%, will not happen without dramatic growth in rainbow, we believe our first quarter results speak to the underlying strength of our business model, the value of our technology to the practice of medicine and the fact that we continue to convert as many new hospitals to Masimo as we always have. Customer enthusiasm continues to build for our breakthrough technologies such as SpHb, RAM, Patient SafetyNet and Pronto-7. Of all these, if just one was to become standard of care, I am convinced that SpHb will become the standard of care because it is saving lives by detecting occult bleeding in places like the intensive care unit and labor and delivery, and is the first monitor since the introduction of Masimo SET Pulse Oximetry to show improvement in outcomes in a randomized controlled trial as evidenced by the Mass General study. We also continue to push the envelope with new innovations like our 2012 Radical-7 bedside device and the Halo Index, or dynamic wellness indicator, which is still pending FDA clearance. The swift completion of our 3 million share stock repurchase program underscores our confidence in our future. As I've said many times before, new Masimo breakthrough measurements like SpHb follow an S-curve-like pattern of adoption, and it is hard to predict when we will reach the steep part of that growth curve. We remain fully focused on opportunities ahead of us and believe we are in excellent position to achieve solid top and bottom line growth for years to come. With that, we'll be happy to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Bill Quirk with Piper Jaffray.
William R. Quirk - Piper Jaffray Companies, Research Division: First off -- first question for Mark. Really nice gross margin from here over the last couple of quarters. Mark, you mentioned that a fair amount of that was mix. Can you give us a little extra color here? Obviously, there's fewer drivers, and you've been pushing a few initiatives. So can you walk us though a little bit, I guess mix of lower drivers versus some of the new initiatives.
Mark P. de Raad: Sure. Let me start by saying that the impact of the new initiatives was still very, very minor in the first quarter. As you'll recall, Bill, we spoke about those improvements throughout the second half of last year. And in fact, we're expecting those improvements to really become more visible towards the second half of this coming year. So not a lot of the current quarter improvements were related to that. In terms of the mix issue, that simply is a reflection of the amount of total revenues as a percent -- the total amount of sensor revenues as a percent of the total revenues. We obviously make certain assumptions when we're building our plans for the year. And in this particular quarter, we actually did very much -- a much higher percent of our total revenues through the actual sensor -- adhesive sensors than some of the other product lines that we had assumed. And because those -- that specific product line actually does, in general, come in at a higher gross margin, that had the positive impact that we referred to in the comments today.
William R. Quirk - Piper Jaffray Companies, Research Division: And then secondly, just thinking about the competition, they noted a couple of days ago, they felt that the market share was starting to stabilize within the space. And just coincidentally, looking at your driver's numbers which are obviously off year-over-year, any truth to that? Where do you guys think you are in terms of share within the pulse oximetry market?
Joe E. Kiani: Well, Bill, I don't think there's -- I don't think that's accurate. And I think we saw the statements, and I think if you look at it carefully, they said that their pulse ox business really was flat. So if you remember, we generally used to be shipping 25,000 to 30,000 drivers a quarter. And the past year or two has been moving up to be a little bit over that, maybe more like 30,000 to 40,000 drivers. And last year, it was a year where we did a lot of installations this time with places like Kaiser and Banner, which were 2 major installations. But no. In fact, to the point I made earlier, we've been growing at this $40 million to $60 million for several years, and that's been the organic growth mainly out of the pulse oximetry business, and it continues to grow that way. And in Q1, we converted I think almost a record for the company for the first quarter. Maybe it was the second or third biggest ever in terms of new bookings for the quarter, new customers. So I don't think that's accurate.
William R. Quirk - Piper Jaffray Companies, Research Division: Okay. No, good to hear. And then lastly for me, we're starting to see any traction, I realize it's still early days, but we're starting to see any traction on the bulk $30 hemoglobin sensors, Joe?
Joe E. Kiani: Well, as I mentioned, hemoglobin grew more than 70% this quarter, and a lot of that was due to Pronto-7 shipping, as well as increase in adhesive sensors. But what I can tell you is that I personally have had many conversations recently with CEOs or COOs or CFOs and CMOs of different hospitals, and there's a lot of excitement about hemoglobin, more than I have sensed before. We hope those will materialize in major conversions and the kind of explosion we like to see to fall in that steep part of the S-curve.
Operator: Your next question comes from the line of Gregory Hertz with Citi.
Gregory Hertz - Citigroup Inc, Research Division: Just one quick one. Obviously, the results out of the U.S. were solid, but it was certainly one of the weaker quarters for o-U.S. Sales. And you mentioned that the OEM channel was weaker in the o-U.S. versus U.S. I'm just wondering if you could maybe provide a little bit more detail there on the direct channel, as well as -- were there any particular areas within the o-U.S. where things were soft? Were there any initiatives there? Did you maybe pull out of any particular countries?
Joe E. Kiani: What actually threw it off a little bit compared to last year was a lack of repeat of a big one-time cash order we got in Canada last year that didn't happen this year. And most of the world, that's not our model, these one-time cash deals. We usually place devices for sensor contracts. So if you take that out, actually we had really robust growth, similar to the numbers that we'd seen in the past.
Gregory Hertz - Citigroup Inc, Research Division: Okay, that helps. And just -- also, just another question as it relates to X-Cal. I'm just wondering if you've noticed any reduction in reprocess sensors use within your customer base to date. And also, I just want to make sure that I have a proper understanding of how the technology works and -- does it require a software upgrade to the drivers as well to activate the technology and the sensor? And where does that process stand if that's the case as far as upgrading that?
Joe E. Kiani: Well, this is a topic that I don't want to get too deep into because it can be misconstrued. I can just tell you that we've planned this for several years, and no, there will be no software upgrade necessary. And the purpose of this whole X-Cal is to protect the system integrity of our solutions and minimize the copycat products that are being sold mostly into international markets. But it will also impact the processors, which we're not too upset about, given the testing we've done with reprocessed sensors and seeing how poorly they behave. I mentioned, I think, on the last call that we brought in 1,000 reprocessed sensors and found, I think, if I'm not mistaken, about 90% of them not meeting our functional test requirements.
Operator: Your next question comes from the line of Joanne Wuensch with BMO Capital Markets.
Joanne K. Wuensch - BMO Capital Markets U.S.: You noted that X-Cal weighed on gross margins by about 100 basis points. Is that sort of a consistent level? Or is this sort of a balance of volume mix of that -- that damage should sort of be minimized as the quarters go by?
Mark P. de Raad: Joanne, in general, that number, as a percent of total gross margin, will obviously move as the total amount of sensor ship volumes increase in the future. The good news is that the cost that we've seen so far, relative to this new technology, we believe today are essentially at the peak of their cost. We will be working over the next year, as we always do, to continue driving costs out of that incremental component related to X-Cal. So over time, we expect it to be a smaller impact as a percent of total. But if you look over the next year or so, that's probably a pretty good gauge, except for whatever may happen to volume. As volume increases, there's a potential that, that -- the overall impact will actually be larger.
Joanne K. Wuensch - BMO Capital Markets U.S.: Okay. And then Covidien purchased during the quarter Oridion. And my memory is that you guys either had or have some kind of agreement with them. Is that something that you can comment on?
Joe E. Kiani: Sure. Yes, we do have an agreement with Oridion. They do have our technology in their products. And we also connect their device to Patient SafetyNet. We don't believe -- from our perspective, there's no reason for us to not continue that, but we'll need to see how the company behaves after the integration.
Joanne K. Wuensch - BMO Capital Markets U.S.: Okay. And then my final question is that -- my memory was that your Pronto-7 into the physician's office was going to require some type of agreement, a distributor to help do that, that you didn't have a sales call point? Has that changed? Or is there some type of an announcement that would lead to a contribution from physician offices this quarter?
Joe E. Kiani: No, that has not changed. We still would like to have distribution help us with reaching over 200,000 physicians' offices in the country. We clearly can't cover them with 20 or even 40 or 50 sales people. So we expect to forge a relationship like that. But it also doesn't mean the day that we sign up with them is the day that they'll get the product and run with it. Because we also want to make sure -- with our own sales force, we have answered a lot of questions that are going to come up so that the larger sales force who will be carrying thousands of products will have a smoother sales cycle.
Operator: Your next question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein - William Blair & Company L.L.C., Research Division: A question -- I think you answered the one on the o-U.S. OEM, but the revenue growth or lack thereof in the U.S. with OEM, that's been a kind of an ongoing situation for the last several quarters, and I think you reported it roughly flat this quarter. Can you just give us some explanation, just kind of what's going on with the revenues through the OEM channel? Because I don't think I'm completely clear on what the rationale is behind the trend there.
Mark P. de Raad: Well, I think, Brian, as -- last year, actually, as you'll recall, we typically were talking about sequential year-over-year declines as we were seeing some of the OEMs continue to transition away from the reselling of the consumables as part of their business model. That trend changed a little bit, depending upon whether or not you're talking U.S. or o-U.S. On the U.S side, we actually saw that decline begin to mitigate a little bit more, whereas on the o-U.S in the first quarter at least, we saw a continuation of it, and that helped contribute to the lower year-over-year o-U.S OEM revenues that we mentioned before. The good news really is that I think, for the first time in a long time, at least on a sequential basis, we've actually seen sort of a flattening of that decline. And we're actually hopeful that as we look forward over the next 3 quarters this year, that we've seen the bottom and that, from this point forward, we should be beginning to see a slight upward tick in total OEM revenues. So that year-over-year decline we were experiencing last year we don't think is going to reappear this year.
Brian Weinstein - William Blair & Company L.L.C., Research Division: Okay. And then if you can comment at all on what the pricing environment looks like on the base of that technology at this point. Are you experiencing anything other than kind of the typical kind of -- down a couple of percentage points year-over-year and what your outlook is for pricing going forward?
Mark P. de Raad: In general, I would say yes. We've not seen any dramatic change relative to this quarter versus, say, what we saw in 2011. Having said that, it still is a very competitive pricing environment, but not any more dramatically than what we've seen over the last 3 or 4 quarters. Looking forward, as you know, Brian, we always make some assumptions as to the overall direction of the pricing environment. And historically, for us, that has meant, on average, modeling ASP reductions of somewhere in the range of about 3% to 5% per year. That's what we've assumed for this year, and there's nothing in the first quarter that we've seen that would change that as we look through the rest of this fiscal year.
Operator: Your next question comes from the line of Matt Dolan with Roth Capital Partners.
Chris Lewis - Roth Capital Partners, LLC, Research Division: This is Chris Lewis on the line for Matt. First question is around your rainbow guidance for the year. You came in at $8.5 million. I know there's some seasonality here at the beginning of the year, but it still leaves you a little work to do to get to the $45 million that you've guided to. Just wanting to know how you see rainbow sales tracking throughout the year and what you need to do to get to that $45 million?
Mark P. de Raad: Well, as we mentioned in -- or Joe mentioned in the prepared remarks, the $8.5 million of the first quarter was a little bit lighter than what we had hoped for internally. Having said that, our planning all along assumed that the first quarter of the year would be the lowest quarterly revenue for rainbow. And even though rainbow in general has only been around for a couple of years now, we certainly believe that the seasonal pattern that seems to be developing is that the first quarter of every fiscal year seems to be the low point for our total rainbow revenues. So to your point, we do expect sequential increases in rainbow revenue, essentially for each quarter as we look through the rest of 2012. And if we're able to achieve that, then we certainly think the $45 million that we've provided as guidance at the start of the year is certainly still achievable. And there's no reason sitting here today why we don't think that is achievable, especially in light of the distribution agreement that Joe was just mentioning.
Chris Lewis - Roth Capital Partners, LLC, Research Division: And in your last earnings call, you had mentioned that you had a long -- a long-time OEM partner had a large drop in the revenues and driver numbers that you weren't anticipating. Can you provide an update on that and what you've seen thus far from that OEM partner for this year?
Joe E. Kiani: Sure. Part of what made the OEM numbers look better in the U.S., I believe, is that particular OEM coming back. And we're still investigating what is going on. And it's not an issue that we're done with, but we'll keep you posted.
Chris Lewis - Roth Capital Partners, LLC, Research Division: Great. And then my last question, can you just provide any more color around the Halo FDA status and what type of feedback you're getting from your o-U.S. customers?
Joe E. Kiani: With FDA, unfortunately we don't know when we're going to get clearance. It's been, I think, now, a year since we submitted Halo. So it's kind of getting on the long side of things. But that had become typical these years. As far as feedback we're getting internationally, we've had some notable customers using Halo, and we're -- one of them, in particular, in Singapore, we're getting a lot of great feedback on how they're using it to improve their process of care, both in identifying patients at risk, as well as using Halo to know how to best spread out the resources. For example, you don't want one nurse to have several high-Halo number patients. If you can, you want to spread the high-Halo patients evenly amongst the nurses. So we're quite excited about Halo, and we can't wait to get FDA clearance because we think the U.S. market is probably most ripe for something like Halo and there's some pent-up demand for us. But we're going to have to wait.
Operator: Your next question comes from the line of Larry Keusch with Raymond James.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Joe or Mark, I'm wondering if you could -- and this is sort of touched on earlier relative to the drivers and the OEMs. But you had targeted 150,000 for the year, and I just wanted to check in and see how you're feeling about that target. And if it is still intact, what causes the acceleration from the levels that we saw in the first quarter?
Mark P. de Raad: Larry, the answer is yes. We still believe the number is intact. We believe -- as you recall, we said approximately 70,000 was our best estimate for the first half of the year, followed by 80,000 in the second half of the year. Looking at our activities so far this quarter, we think we're in a good position to be able to support that 70,000 number for the first half of the year. And the acceleration in the second half of the year, to your question, is actually primarily related to an acceleration of OEM rainbow board adoption. Again, speaking to some of the comments that Joe mentioned earlier, as we begin to see some of these additional OEM partners begin to actually deliver our technology within their new product cycles. So still feeling very good about the 150, 000 number.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Okay, great. And then relative to the gross margin, I think if my memory serves me correctly, you had 100 basis points sort of one-time in the fourth quarter. So you kind of sequentially went up 40 basis points and certainly, I understand the impact of Spire in there. I guess my question is, with a full quarter, Spire coming in on the second quarter, I think you mentioned it's only in on 3 weeks in the first quarter, how should we think about the sequential change in that product gross margin with the Spire lower gross margin now in the mix?
Mark P. de Raad: Good question. You're correct. We obviously indicated with the numbers today that we had about 3/10 or a 30-basis-point impact for this third quarter. When we provided the annual guidance for the year, there was actually about a 50-basis-point reduction in our overall gross margin. If you do the math, of course that suggests that our best estimate right now is that we will probably be looking at a reduction anywhere in the range of about 6/10 to maybe 7/10 of actual -- or 60, 70 basis points on a future-quarter basis. So in other words, another sequential 30 to 40 basis points is what we would expect as we look forward to Q2, Q3 and Q4. And when you add that collectively, you get very close to the 50 basis point that we assumed in our guidance back on March 12.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Okay. So does that imply that, that gross margin on a sequential basis should be flat to up? Is that the right way to think about it?
Mark P. de Raad: Well, as I said today, we haven't changed our overall annual product gross margin guidance number, which, as you recall, in March, we reset that from 65 to 64.5. So we still are looking at over the next couple of quarters, even though there will be a higher negative impact as a result of the Masimo Semiconductor activity, there were other gross margin improvements that we expect and still expect to be seen over the next 3 quarters that should offset that negative impact so that the annual guidance that we suggested earlier is still appropriate.
Lawrence S. Keusch - Raymond James & Associates, Inc., Research Division: Okay, I understand. And then one last one for you guys. And again, maybe for Joe or yourself, Mark. But obviously, you've now completed the share repurchase and you, as indicated, still have significant cash levels. And I anticipate you'll generate additional cash throughout the year. The stock price hasn't moved in any major fashion in that time period with the share repurchase. So I guess what I'm really sort of curious about is how are you guys thinking about your capital allocation at this point. And quite frankly, why not buy back more stock?
Joe E. Kiani: Well, that's a good question, and we've actually discussed this recently with the board. We have a couple of acquisitions that we are looking at. And if we can come to terms with either or both, we're going to need our cash for those acquisitions. And there's other things we were thinking of doing. So right now, we think there's better things to do with cash. If that changes and stock price does not move much, obviously we'd probably jump in and buy more shares.
Operator: Your next question comes from the line of John Putnam with Capstone Investments.
John M. Putnam - Capstone Investments, Research Division: I was wondering if you could give us an update on your OEM relationships in China? And I was wondering, is X-Cal a major tool for, I guess, combating piracy of your technology, particularly in a place like China?
Joe E. Kiani: It is of pirating of the sensor technology. We do have now with rainbow, encryption that should minimize pirating of the rainbow technology itself, not just the sensors. So we hope that a combination of X-Cal and the rainbow platform, the things we've been doing since 2005 will be hard for people to just knock off in China.
John M. Putnam - Capstone Investments, Research Division: Okay. And have you signed any other additional OEM agreements over there, Joe?
Joe E. Kiani: I believe we have a handful of OEM agreements there. I think they're all rainbow-related. And I believe even 1 or 2 have begun selling rainbow-based devices in China. At least one has. And really, the major player there are Philips, Mindray. And with Philips, we already have a rainbow agreement. But Mindray, we're going to have to see.
Operator: Your next question comes from the line of Sara Michelmore with Brean Murray.
Sara Michelmore - Brean Murray, Carret & Co., LLC, Research Division: I guess just 2 very unrelated ones if I could. Just back on rainbow. Joe, on your prepared comments, you did say that the SpCO and the SpMet continued to be a little slower than your expectations. And I was just wondering if you could contextualize for us what you had assumed for the full year, certainly relative to 2011? If you can just kind of give us directionally what had been in your assumptions just so we can have an idea of how that's tracking? And then since you brought it up, I would be curious just to hear your thoughts on M&A framework. Obviously, Spire was a small deal, but did include a little dilution, it sounds like. You have some other things you're looking just in terms of -- if you can give us any, just big picture context for how you're thinking about these things, what your priorities are when you're looking at these deals, et cetera.
Joe E. Kiani: Sure, sure. With SpCO and SpMet, we started selling those as rapidly [indiscernible] And then in a matter of 2 or 3 years, 4 out of the 5 major associations recommended monitoring of carbon monoxide. In fact, the National Fire Protection Agency, NFPA 1584, recommends it. So it should become a standard in every firetruck and paramedic vehicle to make these measurements. Unfortunately, one negative thing occurred and -- not unfortunate, but another thing occurred, which minimizes the revenue of CO and met. The unfortunate thing that is definitely all bad is the recession. And it has basically reduced local revenues so the -- so really, a lot of the sales that are happening right now out there with our devices are through grants that are provided by either federal or private institutions because the fire departments are facing layoffs and much, much bigger issues, and they're really not paying attention to the standards. Then the fortunate but maybe somewhat unfortunate for revenues short term is both our good partners, Physio and Zoll, integrating rainbow for CO and met measurement into their defibrillators. So immediately, that took our revenues down by 1/2 at least. But fortunately, they increased the number of units that people were purchasing, because many do prefer the integrated approach. So you asked, what do we predict? We'll do -- we predicted more out of, not just our own sales force that calls on EMS, but our OEM partners. And unfortunately, in the U.S., we fell short of it. O-U.S. we didn't, but the numbers are much smaller to begin with outside the U.S. So all in all, Mark, correct me if I'm wrong, but I think CO and met grew what, 7%? Or some very small level? Yes, 7%. And that's kind of -- because it's what we started off with in 2005, which is kind of the base of rainbow, it's -- even though hemoglobin grew 70%, rainbow in general grew only 14%.
Sara Michelmore - Brean Murray, Carret & Co., LLC, Research Division: Okay. But it is -- yes, just -- so it is up. And then when you just talk deviation, off the line, Joe, I mean, you obviously knew what the environment was coming to the year. And I'm just trying to get a sense of how far -- I mean, the numbers sound like they're fairly small. But just how far are you off? That's, I guess, what I'm trying to get at.
Joe E. Kiani: Well, we're not that off much. We're -- I think we're maybe -- total dollars, maybe $1 million tops. So it wasn't like we predicted much more, given that we understood the environment that we're in. But I think that led to less than what we had estimated in our forecast for our shareholders.
Sara Michelmore - Brean Murray, Carret & Co., LLC, Research Division: For this quarter?
Mark P. de Raad: For this quarter.
Joe E. Kiani: Right.
Mark P. de Raad: Sara, I think -- I mean, you probably already realized it, but I do think the important part of the comment that Joe had made earlier was that the 2 new, call them, elements in the rainbow family, both the SpHb and RAM, the growth rates in those particular parameters were very, very strong year-over-year. So we're actually very encouraged with what's going on in those new areas. And as Joe alluded to, those really are going to be the drivers for rainbow revenues over the next 5 years. So the fact that CO and met are not growing at the levels we'd like, it's certainly a fact, but it's also not a complete surprise, to your point. But the real important point, I think, of the comment that Joe made before is that the other components of rainbow really are growing very nicely now.
Sara Michelmore - Brean Murray, Carret & Co., LLC, Research Division: Okay, that's great. And then, Joe, if you can just address my question on kind of how you guys think about M&A and what you're hoping to achieve.
Joe E. Kiani: Well, our philosophy on [indiscernible] is 2 things. One, acquisitions like cash versus acquisitions that are either sourced and cash that we have to borrow or buy stock. When it comes to acquisition by big amounts that you know we have to borrow or give our stocks for, we will only look at clients that we think is better than our current business model, something that we have already. And so far, we haven't seen anything like that, because I don't want to make a big bet like that and not love what we're acquiring more than what we have today. Because otherwise, I fear that it'll be not a prudent investment, since we may not integrate it properly. So that's how we think about big acquisitions. So really, for us, the other category where we're acquiring technology, like we did recently with Spire or we did with Andromed, or we did before with the Vital Insight, we -- the hurdle is smaller, but it's got to be an acquisition for either -- for mainly for technology that's got to be a revenue -- something that we can pay with our own cash that we have generated. So right now, the 2 acquisitions we're looking at, both should be things we can do with our cash. So they're not big acquisitions that are going to be game changing, but things that we think are good to have for the long-term.
Operator: Your last question comes from Lennox Ketner with Bank of America.
Lennox Ketner - BofA Merrill Lynch, Research Division: I guess, Joe, I'm just trying to reconcile on the driver's place. You talked last quarter and this quarter about seeing record contract bookings and yet, as people mentioned, the driver shipped were down fairly meaningful year-over-year. So I'm just trying to reconcile that. Are you saying basically that you guys booked a record number of new hospitals in the quarter, but they're maybe smaller than some of the large contracts that -- the Kaiser and the Banners that you booked before? Is that the right way to think about it? Or how can we reconcile those 2 things?
Joe E. Kiani: Well, first of all, a couple of ways. One, 80% of our drivers come from the OEMs. So our OEMs had a softer quarter than we had expected, but we don't think that's going to continue for the year. We think we're going to get more of in the second half and even the second quarter. The second part is our own direct business, and we don't want to get too detailed. But we had some major installations that unfortunately got delayed. So a few thousand of our devices that normally would have been installed in Q1 got pushed into Q2. So that's a big part of it. But then to answer more specifically your question regarding the new contract we converted in the new year in Q1, there weren't actually a lot of contracts. There were some major contracts with some really significant names, top hospitals in the country and some outside the U.S. So we're very happy with the quality, as well as the quantity of the new customers we're attracting, if that answers your question.
Lennox Ketner - BofA Merrill Lynch, Research Division: Okay. So it's more just a timing issue at some of those installations -- some of the contracts that were booked got pushed out?
Joe E. Kiani: Yes.
Lennox Ketner - BofA Merrill Lynch, Research Division: And then last question, just -- are you guys still planning to launch a line of ReSposable sensors for the pulse ox business? And if so, is there any update on the timing for that?
Joe E. Kiani: Yes. So we are -- that's a great question. We've been in a prolonged -- what we call a premarket release. Make sure everything is good before we run with it. We're really close. So I hope, if not in the second quarter, I expect in Q3 we're going to launch a very exciting ReSposable lines of sensors for pulse ox and some additional ones for rainbow that's going to really create a better environment for hospitals that are, a, trying to go green; and b, trying to both use rainbow and SET in different departments yet want to have the same adhesive kind of goal with the patient no matter where they go. I want to thank you all for joining us. We really appreciate the support. Of course, yes, we are excited about our 23rd anniversary, one that started us with at a garage. And while we feel like we have a lot of places to improve and a lot of places to go, we're happy about the history. And hopefully, in the next 5, 6 years, we'll dwarf where we've come from over the last 23 years. So with that, I want to thank you and wish you all a great week and weekend.
Operator: Thank you. This concludes today's conference. You may now disconnect.